Operator: Good day ladies and gentlemen, thank you for standing by. Welcome to Douglas Emmett's quarterly earnings call. Today's call is being recorded. At this time, all participants are in a listen-only mode. After management's prepared remarks, you will receive instructions for participating in the question-and-answer session. I will now like to turn the conference call over to Stuart McElhinney, Vice President of Investor Relations for Douglas Emmett. Mr. McElhinney, the floor is yours sir.
Stuart McElhinney: Thank you. Joining us today on the call are Jordan Kaplan, our President and CEO; Kevin Crummy, our CIO; and Mona Gisler, our CFO. This call is being webcast live from our website and will be available for replay during the next 90 days. You can also find our earnings package at the Investor Relations section of our website. During the course of this call, we will make forward-looking statements that are based on the beliefs of, assumptions made by and information currently available to us. Our actual results will be affected by known and unknown risks, trends, uncertainties and factors that are beyond our control or ability to predict. Although, we believe that our assumptions are reasonable, they are not guarantees of future performance and some will prove to be incorrect. Therefore, our actual future results can be expected to differ from our expectations, and those differences may be material. For a more detailed description of some potential risks, please refer to our SEC filings, which can be found in the Investor Relations section of our website. When we reach the question-and-answer portion, in consideration of others, please limit yourself to one question and one follow-up. Thank you. I will now turn the call over to Jordan.
Jordan Kaplan: Good morning, everyone. Thank you for joining us. We started 2016 with a very busy and successful quarter. We closed on the Westwood portfolio at the end of February and have seamlessly integrated the properties into our leasing and operating platform. Initial results have met or exceeded our underwriting. The leasing environment and our markets remain quite strong. During the last 12 months, LA County added 84,000 jobs reducing the unemployment rate over 200 basis points, from 7.1% to 5%. We had job gains across our diverse industry base led by healthcare, leisure and hospitality and professional services. Our submarkets continue to outpace Los Angeles as a whole with March West airway unemployment had only 4.2%, reflecting these trends, our average office rents are still rising at double digit annual rate and our core Los Angeles sub-markets are 94.4% leased despite adding the Westwood portfolio with its higher vacancy. On the multifamily side, our portfolio remains fully leased and we have raised asking rents by 3.4% over the last year. Overall, our same property cash NOI for the first quarter increased by 4.3% year over year. Taking all these factors into account, we are raising the midpoint of our 2016 FFO guidance range by $0.03 and the midpoint of our AFFO guidance range by $0.04. With that, I will turn the call over to Kevin.
Kevin Crummy: Thanks Jordan and good morning everyone. In Q1, we closed the 1.7 million square foot Westwood transaction and we're very excited about the commanding market share we now have in Westwood. While we will remain disciplined, we expect additional acquisition opportunities this year. Turning to our financing activities, we continue to employ a strategy of using non-recourse property level debt to avoid the risk of covenants or rating requirements that can be punitive during an economic downturn. We said leverage levels low enough to benefit from best pricing in the debt markets. During the first quarter, we closed two loans at very attractive interest rates. In connection with the Westwood purchase, our consolidated joint venture closed to seven year of $580, non-recourse mortgage loan which we swapped a fixed interest rate of 2.37% for five years. One of our consolidated funds closed to seven years at $110 million, a non-recourse mortgage loan which we also swap for five years at a rate of only 2.3%. Looking forward, we plan to continue refinancing a 2018 debt further extend their maturity schedule and take advantage of the low interest rate environment. With that, I will now turn the call over to Stuart.
Stuart McElhinney: Thanks Kevin. Good morning everyone. In the first quarter, we signed 176 office leases covering 671,000 square feet including 259,000 square feet of new leases. Including our new Westwood acquisition, the lease rate of our office portfolio decreased to 92.1% at quarter end. Excluding Westwood, our core Los Angeles submarkets in West LA and Sherman Oaks/Encino remain fully leased at an average of 96%. Rental rate continue to rise across our entire portfolio, our cash rate roll up this quarter was positive 7% and the straight line rental rate was 22.7%. We continue to push annual ramp up higher in our new leases but most of our new leases in Los Angeles now between 3.5% and 4%. Our portfolio lease rate still exceeds the relative market lease rate by an average of 304 four basis points. On a mark to market basis, our office asking rents at quarter end exceeded our in place rents by 14.9%, up 70 basis points from last quarter. On the multifamily side, our 3,300 units were fully leased at quarter end. During the last 12 months, we raised our same property residential asking rents by an average of 3.4%. At quarter end, the annualized asking rents for our multifamily portfolio exceeded our in place rents by $18.4 million per year, about half of which related to our 233 remaining pre-1999 units in Santa Monica. I’ll now turn the call over to Mona to discuss our results.
Mona Gisler: Thanks, Stuart. Good morning everyone. I will begin our results and then provide a short update on guidance. As Jordan mentioned, we are pleased with our Q1 results compared to a year ago in the first quarter of 2016, revenues increased by 8.9%. FFO increased 0.1% to $76.1 million or $0.43 per share, excluding a one-time non-cash item in 2015 related to the acquisition of a [inaudible] FFO increased by 9.7% year over year. AFFO increased 17% to $62.5 million or $0.35 per share. Comparing our same property cash results in the first quarter of 2016 to the first quarter of 2015, revenue increased by 3.4%, expenses increased by 1.7%, and overall same property cash NOI increased by 4.3%. Core same property cash NOI rose by 4.4%. G&A for the first quarter was $8.1 million and a 4.8% of revenues and well below that of our benchmark group. Finally, turning to guidance. We now expect FFO to be between $1.74 per share and $1.80 per share and AFFO to be between $1.38 and $1.44 per share. As I mentioned last quarter, we expect our growth to accelerate in the second half of the year first because of the Westwood acquisition and our estimate for continuing properties. We have also raised guidance for same store NOI for the year to be between 4.5% and 5.5%. For more information on some of our assumptions underlying guidance, please refer to the schedule in the earnings package. With that, I will now turn the call over to the operator so we can take your questions.
Operator: [Operator Instructions] Jamie Feldman of Bank of America. Please go ahead.
Jamie Feldman: Great thank you. I guess just talking about the acquisition opportunities you had mentioned on the call, can you just give us an idea of how we should think about future growth in the Westwood JV, your future funding commitments and then what the acquisition opportunities are that might be out there.
Kevin Crummy: Sure Jamie this is Kevin. I will start with the latter half of your question. We feel that the pipeline is pretty good and we're working hard on the sourcing and underwriting properties. We're not going to lose any bids anybody based on lack of information or anybody with a better platform but we're staying focused on making sure that it fits our investment criteria of opportunities where we can add value and properties of their concern, we're hopeful that we'll be able to hit on some of these. Related to Westwood, what was your specific question?
Jamie Feldman: I think on the last call, you were talking about potentially growing it and whether there'd be more, like you're going to get funded with your initial capital and then depending on whatever the opportunities were out there maybe that capital would be spread to more assets, or just kind of, could you talk bigger picture of how we should think about what this fund is going to look like going forward in terms of adding additional assets and then your financial commitment to it.
Jordan Kaplan: So yes I'll answer it. There's a series of buildings we're working on buying. I will not forget and will or won't get on and finally there is a little bit of a misnomer because what we have is a set of joint venture relationships where everybody can vote to do or not do some. So we are not controlling anybody's capital. We just have an understanding with the group but they are understanding what we're trying to achieve saying okay we're going to go together and try and buy this group of buildings that we think are coming out over the next let's say 12 months. So we'll get a few I'm sure we'll be out there for on a few but we have, I think a good bidding group that will move forward.
Jamie Feldman: So that means you contribute additional capital into each acquisition?
Jordan Kaplan: Yes, it's still hard. We put our thing saying as we say right now you've got it that we are 30% of the Westwood deal but as time moves on the biggest thing which I have said you guys was that we feel we have around $400 million that we can put into this entire venture and we have to see how successful we are if you wanted to convert that over the percentages to how many deals we did, I wouldn't want to end up as I explained you guys before, I didn't want to end up and we got Westwood that's only thing we got and only took a small interest in it and then stock [inaudible]. So I would say, I'm trying to keep a lot of optionality which I know makes a little more un-comfort for you guys in terms of figuring out what was going to happen during the year but we don't really know what's going to happen during the year. So what we try and do is not really sell down or not really reduce our position until we have a good comfort of what's coming out and then they use of the money. Now at the same time, it's not one person dance, right? So, we have partners, w want them to be happy and so we have to make commitments somewhat on their timeline too to what they want to own and their interest in the deals and that's why on our last call I said you look, if had a limited money I don't have 100% of these buildings. We don't have unlimited money we have limited money and so the percentage of these buildings that we are going to own is going to be a very large function to how much we are able to actually buy. And our partners obviously have a strong interest only a large percentage yield. So as we make deals with them we commit with the progress of time and those guys we end up saying okay, we will allow ourselves to go down to this percentage and we'll keep moving forward. We're happy at 30%. I think it's a good portion to own the deals.
Jamie Feldman: Okay but the bottom line is we should be thinking about 400 million as your vast investment as EOP unless you sell more assets.
Jordan Kaplan: Yes, I mean we have ways to change equity stock, equity debt stock by selling out there to JV in other buildings. We have a lot of options as I've said in past calls that we would look up before we would sell buildings I mean before we would sell stock because it would be odd to sell stock and in effective price it's substantially below where we're buying buildings. But we have good partners, we could put our own buildings in the deals and at least get like for like pricing and spread our reach a little better, spread our control a little better without it being a dilutive transaction. And then of course as you just mentioned we can flat out sell a building too.
Operator: Next, we have Blaine Heck of Wells Fargo.
Blaine Heck: Great. Thanks. Can you talk about the opportunity to increase NOI at the Westwood buildings. What do you think stabilize lease rate for them what’s the timing for getting to a stabilized level and maybe what’s the mark to market you think that exist in the portfolio?
Jordan Kaplan: Yes, I mean I can answer that. The mark to market, if I'm thinking back we have that right in front of me but the mark to market are not portfolio, I remember as a 100 basis points so far as the mark to market on the rest of our portfolio. So I don't know where is the rest portfolio right now like 15 or 16? So 15, so that I want to probably around 17. In terms of the grow up I mean we tend to made it out road, give ourselves plenty of time to lease the building up to what we would call stabilize which is 95% but I think we feel fairly confident that with the Westwood buildings and I think, we mentioned this in the prepared remarks that we are actually biding or exceeding our original pro-forma on where we thought that would go and that's pretty impressive since we've only really been running it for one month or two months at this point. So they have been absorbed into the portfolio extremely well and they are performing very well and kind of the super early kind of like [indiscernible] with only 2% results but the super early results are very good.
Blaine Heck: Okay great. Then maybe for Mona how are you thinking about leverage at this point you guys took on high end view range for the Westwood transaction and should we expect any near term action to reduce leverage or just natural declines through free cash flow generation and increasing EBITDA?
Jordan Kaplan: So can I answer that one too on the policy. So let me just and I know some of you already heard this, but let me just say how we think about leverage-in general okay. So in general as a private company and as a public company our history is that we had kept even as a private company, I think our leverage ramp 45% to 48%. As a public company we have been running around I don't know 38% to 45% somewhere in that range. Low 40s that's very comfortable for us. You might look at that number and say well it looks hard then let's say your peer said. Why is it comfortable for us? Number one, leverage has carries with two risks right it's carries payoff risk and for the risk that there is our huge downturn in the market and it actually capture the values of building. Nobody ever lost in the 40s, nobody is building no matter what recession happened, normal average in a 40, strictly in low 40s have lost their building. So there is no kind of mortal attack on the company as a result of our leverage levels to the only question then is okay we are ought to service leverage level if there is some bad times in our future with that leverage level put us on a position where the back again so well let's say, having a refi at a bad time and without - and wishing maybe had even lower leverage. The way we protect against that is we tend to do big windows at the end of our debt so every loan comes on our radar two years before the maturity date. So we always have at least a two year window to pay off a loan. Now in fact most of our loans are swapped LIBOR floaters which means don't have a kind of pre-payment fee that might only last anywhere from 6 to 18 months mostly one year okay. So after year into the loan aside from that fact that we own this swap those loans could be prepaid at any time. We can watch what’s going on and we can extend the amount and you guys see if you watch our financing pattern I think you will notice that usually we don't have any maturities in the next few years because we are usually two years out in terms of what we are focused on refinancing so we keep it pushed out so far that we always feel like if there is a weird twist in the market we wouldn't be forced to go looking for debt at the wrong time. So when you combine the fact that we keep up large window at the end we start refinancing early which is inefficient you don't get the full benefit of whatever points whatever paid on it but still it protects us from having a refinance of the back at the wrong time. So when you take the fact that fact combined with the fact that we do all non-recourse, first trust the leverage on small pools of properties which means there is no debt at the corporate level. There is no covenant there is nothing that can happen at stock price where lender cause and go, such and such covenants violated so all of our debt is non-recourse segregated in small pools. So we have a leverage that doesn't threaten our properties. We have no leverage that can ever threaten the company as a whole on non-recourse it's all separate pools of properties we keep on financed the couple of years out. And the last thing I will say about that which is why I am very comfortable with our leverage strategy is when we go out to finance and you guys see this we publish it for you every time we do a new loan, we get best pricing so when the lenders look at the buildings that we are financing they obviously think it's a very conservative loan because I have seen what everyone financing at and what the spreads are getting and I know our spread tend to well inside of those numbers which means we are getting financing pricing based on an extremely conservative loan, loan to values cash coverage etcetera as we buy the lenders and I feel like that kind of gratifies our strategy. Putting all that together and that's why you see us financing at this level. I know that was a lot, but did that answer the question?
Blaine Heck: Yes thank you for the comments, Jordan.
Jordan Kaplan: Alright.
Operator: Next we have Manny Cordesman at Citi.
Manny Cordesman: Hi guys, thanks for taking the questions. Jordan if we go back to earlier questions about sort of the group that you assembled to Westwood, can the others that are involved in the groups are outside of Emmett, can they buy other assets within the market without your participating?
Jordan Kaplan: Can they compete with us?
Manny Cordesman: Yes.
Jordan Kaplan: You mean, our partners in the Westwood could they compete against us on another deal maybe let's say with another partner because the partners we have, I don't think you would ever see show up direct buying something. These are severance, so they need the structure that we put together. I am not saying they want to put that together, but they need that structure so it's a very direct answer to your question, I am sure they can find a way to compete with us if they wanted to. But I’ve not received any indication that any of them would be interested in competing with us.
Manny Cordesman: Maybe in a less negative way, if you found the pricing was above what you wanted to pay but they were comfortable with pricing could you either take such a small price in the stack that wouldn't matter or could they then go out and buy on their own, it’s that I am asking?
Jordan Kaplan: I would say that legal answer is yes and the practical answer is no. Well, let me say realistic, if it's a deal we worked on together the legal answer is no. But let's say I just kind of did a casual drive by and said I just want to show you this deal that I am not buying but it's not part of the certain group. I guess it can go and go well you are not buying I am going to find someone to buy with but that is I would put those that is so unlikely that it's it wouldn't be worth consideration. Once we work on something with them then they cannot go around and buy it, then they can't any more.
Manny Cordesman: Alright. Can we just talk about the least rates and some of your market they came down sequentially you had negative absorption for the portfolio just what’s going on there as a just a matter of timing or did you really sacrifice space to get better rates?
Stuart McElhinney: Hey Manny its Stuart. I think it's just normal timing. We have a small kind of portfolio we are pretty fully leased so it's just kind of normal fluctuations.
Manny Cordesman: Thanks Stuart.
Operator: The next question we have comes from Nick Yulico of UBS.
Nick Yulico: Thanks. I was hoping if you can just talk about the reasons why you are increased your same-store NOI guidance since the occupancy guidance looks like it’s unchanged?
Mona Gisler: Yes, I’ll take that hi it's Mona. So, we have mentioned before that we still believe that our same-store NOI will be turning up towards the latter half of the year and because of that we have raised our guidance to half a percent.
Nick Yulico: Okay. I guess, is there any assumption then that you are getting better rents on lease or I am just still confused as the why would it gone up versus last quarter?
Mona Gisler: It would be combination of annual rent bumps and rollouts.
Jordan Kaplan: And we are getting good results as a portfolio. So we raised the number, I guess it has to be very simple way to say it.
Nick Yulico: Okay and I guess just one other one was on the new lease signings you did have, I mean sort of similar last question. But you did have your starting cash ranch up 7%. This quarter they are up I think over 12% last quarter, I mean how should we think about how that number should trend if you are saying that rent growth is generally going up in core LA markets that number came down, I mean, it's just sort of one time issue and it should be going back up as far as mark to market goes?
Stuart McElhinney: Hey Nick, it's Stuart. We still had really nice roll up that's the number that's kind of choppy quarter-to-quarter hard to predict on a short term, but overall trend looks really good and kind of happy with the way that looks.
Nick Yulico: Okay I guess, just last one was on century city there, the percent lease went down there can you just explain what’s going on there? Thanks.
Jordan Kaplan : Yes, it's a small market for us we merely have three buildings there, so couple of tenants can make a big impact there but that's just kind of normal quarterly release fluctuation there with small tenant portfolio.
Nick Yulico: Thanks.
Operator: The next question we have will come from Craig Mailman of KeyBanc Capital Markets. Please go ahead.
Craig Mailman: Hi guys. Mona, I was just hoping you could break down the $0.03 increase at the midpoint between maybe the final kind of ownership level of Westwood versus the same-store improvement?
Mona Gisler: Okay. Let me give you little bit of break down on the 3 percent and see if that answers your question, see if that is $0.03 and see if that answers your question. So, half of that is coming from Westwood and the other half is coming from other properties. And the other thing I should note is that the 2% interest on the bridge equity doesn't have any impact on our FFO to AFFO guidance and the best part of the disposition of real estate interest. So that kind of hopefully is going to give you some sense of how that breaks down.
Craig Mailman: That's helpful. I know it's early but you guys accumulated the much bigger presence in Westwood obviously that has somewhat the chop there on the leasing, just curious with the bigger market share there, how you guys are viewing your ability to push rent versus obviously your need to attract tenants?
Jordan Kaplan: Well, I mean its super early but so the only indication, I mean we knew going into that deal that it was going to have a positive ripple effect for us. It's kind of the center of the West side there was a lot of noise around the leasing in that portfolio competitive noise for us and we knew that once we control that it would have a positive impact not just for us in Westwood which by the way only had 400 [indiscernible] for us. But also in the adjoining in both directions Beverly Hills, Century City and then down below Brentwood and down, maybe not Downtown and I think it's been as expected in terms of ripple effect impact and as I said earlier so far where we on our own pro forma which we were expected good stuff out of controlling this I already said in terms of the number we are putting up over very short amount of time mid two months over beat on our assumptions so far at this point.
Jordan Sadler: Hey Jordan it's Jordan Sadler, if the demand for hi, the demand for office assets in southern California remains strong as it seems and you are able to identify assets which it sounds like you are that you want to buy and presumably these assets have a better growth profile then let's say the bottom 10% - 20% of your portfolio why can't you sell the bottom and recycle into better opportunities?
Jordan Kaplan: Well, I don't, number one I it would be, I don't know that I can sit and say this is the bottom you can look at markets that we pull out of or go more into. And obviously, we have been pretty clear the way we do our disclosures and what not that we could share the core of the heart of the company to be sort of this wet side and then along [indiscernible] similarly. Now we also, so we get the typical place where I get the question doesn't like are there bottom buildings that you need to stock, you wouldn't tell me to sell a building like if I want a building in Westwood that’s inferior to a building that I just buy, you wouldn't tell to sell the neighboring building right because it's the way our whole strategy works. So it would have more to do with looking at markets and saying well, if you can get more into this…
Jordan Sadler: Honolulu?
Jordan Kaplan: Yes, you would say Honolulu, [indiscernible] I mean those that's are more typical stuff than I get and I understand that but if I…
Jordan Sadler: Presumably these other assets are going to have a better growth profile longer term as you look at, we all agree Honolulu doesn't have the growth drivers that offer necessarily the long term growth profile that whatever you are looking at may have. So that's sort of I am asking like why not upgrade the growth profile of your portfolio by dumping the slower growth profile stuff?
Jordan Kaplan: So, I would say, I would look at it differently which is there are markets that we are in that I would say they are timing dependent and at the right time it's a good time to sell and there is a good time to get in. and I don't feel that way about the residential, but I understand that when you look at markets like Hawaii or Warner Center, you could say well there could be a time to get in there could be a time to get out. I just don’t think it's the right time to get our right now. Then if you move inward you start talking about Santa Monica, Beverly Hills I mean that kind of West side market and then along Ventura, I think they are just very good long I don't feel they are different growth profile and in strange way the markets that you would say you think have a weaker growth profile I go, I don't know that I feel that way. I actually think there even less fully valued on a shorter look than the West side. I think they have more opportunity in the next few years to see a stronger run up as those metrics improve because I see more volatility in those markets in the past. Whereas when I look at the West side or the markets that we call our core markets I see the market myself well that's it mean that's market regardless of the ups and downs that we all know the industry goes through has a super good like 30 year trajectory in terms of the long angle. And that's why I don't consider them kind of timing markets that I would get in and out of. So when I look at those other markets I say, frankly we say to ourselves is it timing right to get out of those, probably not right now. That will be it unfortunately probably the timing when it is right to get out, I don't know somewhere else put that capital but I’ll still manage that investment right, make the most out of that that we can make and then that capital have to go somewhere else or it will go back to the investors or go where it goes.
Jordan Sadler: Okay. Thanks for the color.
Jordan Kaplan: Alright.
Operator: Next we have Rich Anderson of Mizuho Securities.
Rich Anderson: Hey thanks. Good morning out there. Jordan I just want to make sure I understood so the 30% interest in the West wood now could go to 25% if you add a building or something like that, is that the right way to think about it?
Jordan Kaplan: Well, I think the right way to think about it is, we have partners and the only way to change that number is to make a deal with the partners.
Rich Anderson: Right, but I mean you are willing to stay at 30 and add a building or two because last quarter you said between 20 and 30, but if we get, if we say 30 then that might suggest that other things aren't going to break free necessarily in a short time frame and now you are at 30 in this so I am just curious you know what message you are sending by starting here at 30%.
Jordan Kaplan: Well, at 30% I’ve the capacity to keep buying without changing that number, but if we keep buying even beyond that point it would be hard for me to stay at 30%.
Rich Anderson: Okay so you are comfortable being at 30% even with the larger portfolio at this point up to the $400 million number?
Jordan Kaplan: Yes.
Rich Anderson: Okay, just wanted clarity on that. Just a question on dividend policy, I know you recently raised it by a penny I think it was in December, but your coverage metrics look pretty good and I am curious if you’ve given any thoughts or the board has given any thoughts to being a little bit more aggressive when it comes to raising the dividend in the future?
Jordan Kaplan: Well, I mean, I guess every quarter there is a discussion of the dividend, but the primarily discussion about the dividend is that is the boarding meeting going into the new year because we have kind of shown in the pattern of making changes at dividend that's paid on January 15 right, so that means it's that December board meeting. So if you are asking this quarter, quarter early in the year I mean they look at it but I can't say that there is tons of discussion around it. Now to more fully answer that question generally I would say that we look at the dividend in terms of not ever wanting it to be gating in terms of holding back the stock price. I mean, I guess step number one for any dividend has to make sure you keep your status. Then step number two is how much of your cash do you want to give out, what kind of yield do you want to pay and I think we pay a reasonable yield on dividend I don't think it holds back the stock price at least not at the moment. And then, the last thing is I have said although it's not my choice that I would like to see annual growth in the dividend just for person that really is a super long term investor they have some feeling like without commitment that there is much rotation, they will see some growth out of the dividend. And so I will say I typically do ask the board for some kind of growth each year of a dividend because we grow some pretty good running room in terms of coverage on that. But that I mean those are all a lot more for me than to tell you, then there is a board discussion.
Rich Anderson: And if I could just quickly ask, is there anything at all that's interesting you in the Downtown district yet or is it still just kind of a residential play at this point and not so much an office play?
Jordan Kaplan: I would say it's kind of a no play right now, it's not what we do and that goes on the office side and on the resi side.
Rich Anderson: Well, I was not thinking about you, I was thinking about how they have gentrified and if there is any reason to be looking at from an office perspective?
Jordan Kaplan: Well, but Downtown tends to be a low cost large tenant environment for employers that draw from throughout the LA region and that's just not the game that we play. I am not saying like it's a bad environment to invest in for other folks, but for what our platforms specializes in and the investment strategy that we have got, it's not really a target rich environment.
Rich Anderson: Okay. Good enough. Thank you.
Operator: John Kim of BMO Capital Markets.
John Kim: Thank you. I had a question on your annual ramp up of 3.5% to 4% is this the peak or is there room to go because I would imagine the widest spread the CPI that you see?
Jordan Kaplan: No, it's not the peak I mean we had if you go back when ramps really running up and we looked on the West side where we were getting mostly sides. It's working its way up I will tell you that's one of those number that's it's - that when you talk about 74% of Westwood Wilshire. When you talk about the type of control we get in these markets that's one of those numbers that we are able that owning a large percentage is very impact towards in terms of our ability to change the way change the expectations of tenant and tenant rep brokers. When you don't own a lot of a market it's hard to set expectation. When you own a lot you can get the broker buy in you can get the tenant buy in a lot faster to moving those bumps up faster.
John Kim: So is the market continues the time do you think it could go towards 5% or potentially higher?
Jordan Kaplan: I have never seen it go higher than 5%, but I saw a ton of deals at five in 2006 and 2007.
John Kim: Okay. And then also on your increase in the same-store NOI guidance, is there component of higher termination fees in there or lower expenses or just purely rents and occupancy?
Jordan Kaplan: We gave you both numbers, so we give same store NOI and core same store NOI and we give same-store NOI which obviously is whatever it give, so of course we give that. And then because of the noise early terminations and reconciliations of camps which tends to throw off those first two quarters that's why in order for people to see let's say a little bit more of an even trend of where things are going, we give that core number so that core number deducts those numbers all the same again, which is early this terminations and reconciliations from both the comparison period and the period we are in.
Mona Gisler: And there were increases in both of those items, the same store cash NOI and of course in property cash NOI.
John Kim: Okay. Thank you.
Operator: Next we have John Guinee of Stifel.
John Guinee: Great. Great. Just a couple of curiosity questions, I guess on page six your asset page it looks like your land component went up by 95 million, your building and improvements went up by 1.24 billion and your TIs went up by about 60 million, does that mean that you attributed 90% plus of this acquisition to building and improvements in less than 10% land?
Jordan Kaplan: You should call Mona and she will walk through all that it’s her trust to answer those questions.
Mona Gisler: John just give me a call and I can walk you through that offline.
John Guinee: The next question, if I just go to the page 11, your consolidated joint venture page and I am not really sure what goes into it but if I take 1.34 billion and then I take the cash NOI and multiply it by 12 is that a good way to get to the cash rate on the acquisition or is there a different way to go about it in that?
Mona Gisler: So again that's going to be tough math to do on the phone, we try to do, provide you with the information that would work for you so if there is something -
Jordan Kaplan: What you just said that won’t work.
John Guinee: Okay. And then are you assuming you have a disproportion interest in the deal as long as the bridge equity is in place or you are always assuming that the 30% been while the bridge equity loans in place?
Jordan Kaplan: Well, when we put a page that says our share of NOI we are talking about the quarters that just ended and it's the accurate share. There is not assumptions in there I mean that's accurate it's right to the GAAP numbers.
Stuart McElhinney: It just happens to say cash NOI 3.5 million but your share 2.2 million which is roughly 64% versus the 30% otherwise discussed.
John Guinee: We will talk about it after the call. Thanks a lot.
Mona Gisler: Okay.
Jordan Kaplan: Alright.
Operator: Next we have Jed Reagan of Green Street Advisors.
Jed Reagan: Hey morning guys. Is there any update on landmark, how the entitlement process coming along there?
Jordan Kaplan: I would say this, I mean I hate to break the record, but slow and steady. I mean the only news which is good news is we haven't hit anything that stopped us and we are still moving forward and that's kind of the way those work.
Jed Reagan: What are sort of the next milestone dates or hurdles to cross?
Jordan Kaplan: Meetings with home owners groups which are going on right now and kind of receiving and collecting their comments and getting a final version of the EIR published.
Jed Reagan: Okay. On the acquisition roadmap here, so is it fair to assume that you will be bidding on other assets in the near term with the same partners that joined you for Westwood?
Jordan Kaplan: Yes.
Jed Reagan: Okay. And separately which sub markets in LA are you seeing the best activity in rent growth today and then maybe just kind of related thoughts what you seeing in Warner Center?
Jordan Kaplan: Which sub markets had the fastest rent growth recently?
Stuart McElhinney: Yes, look I think that we are seeing good record of the cross whole portfolio include everything in LA in that obviously Honolulu we are not seeing the same growth that we are seeing on the West side but good growth across all our markets.
Jordan Kaplan: And you want to comment on Warner Center. Yes, in Warner center is inching and [indiscernible] using the metric system instead but it's slowly moving its way up and I still like the market I like what’s going on there if you go there you will see a ton energy and you will ton energy in housing, you will see a ton energy in the stuff that West field is doing and you go this has to be a winning bet and I still believe that.
Jed Reagan: Okay so no changes as far as your kind of expectations for how the longer lease uptick there?
Jordan Kaplan: I expect greatness out of Warner Center but so far I am feeling lonely in that expectation but I still believe it.
Jed Reagan: Fair enough. Alright. Thanks. Bye.
Jordan Kaplan: Thanks.
Operator: Next Steve Sakwa of Evercore ISI. Please go ahead.
Steve Sakwa: Yes, thanks. One of my questions was about Warner Center but you just answered it I guess the other one you do have an asset that's held for sale and I guess to go back to Jordan's question about selling slower growth assets can you talk about the asset you do have held for sell and kind of the thought process behind that and what else we might see over the course of the year?
Jordan Kaplan: Is that assets [indiscernible] it's not a very large assets and there was a potential opportunity to sell it and we are looking at that. I may not want to go beyond that in terms of discussing the deal but I am happy to take the building.
Steve Sakwa: But I guess just to trying to flush it out little bit, is it because you think it's slower growth assets is there a conversion opportunity is it just trying to help sort of figure out what the thought process was behind why that single asset?
Jordan Kaplan: Well I mean once we go through that process and decide what we are going to do, I will go over that with you.
Steve Sakwa: Okay. Thanks.
Operator: Next we have Bill Crow of Raymond James.
Bill Crow: Great. Good morning guys. Jordan there seems to be growing concern about the tech bubble if you will up in San Francisco and how that might impact LA eventually? And I just wanted to get your bigger picture thoughts on your market and its exposure to the technology sector? Thanks.
Jordan Kaplan: Well, where our market number one I think I understand people concern about technology and where it's founded I wish there was a lot more technology in our market it happens that Kevin can answer this fair than I can we don't have as much as I would like to have but the only good news of that is for your question at this moment I would say we are not depended on it but you know what, I will still open the doors and welcome them down because I think they are great gross generator and they spin a lot of growth and I certainly don't think they are going away even though I do understand that they can get over heated and spike up a little than they will shallow out and move up. I think they have a good trajectory and so I wish we had more but we don't have much. Go ahead Kevin.
Kevin Crummy: The Los Angeles region and West land in particular our tech is more related around defense for the region and media for West LA and so we are less about social media and new starts up if there was a local broker who put out a tech is the percentage of local leases assign and LA is way, way down the list low like Indianapolis and Phoenix and other places. And relative to venture capital we rank fourth nationally, but the bay area is ten times the size of what’s going on in LA and New York it's the bay area is four times the size of what’s going in the New York City so it's just not a market driver and if you look at in our financials here and you look at our diversified tenant base there is really no one sector that drives us. And so, the good news about our market is we are not overly dependent on one particular sector and so tech is a piece of what we do but it's a very, very small piece of what we do.
Jordan Kaplan: I wish it was a larger piece it was great and incremental pressure. But I mean as Kevin says it doesn't make or break us for type of slow down but unfortunately it doesn't make us to speed up.
Bill Crow: Thanks for the time appreciate it.
Operator: Next we have a follow-up from Nick Yulico of UBS.
Nick Yulico: Thanks. I just wanted to be clear, what’s the asset, one of the asset is excluded from the same-store this year. It looks like I guess its [Trillium] in Woodland Hill or it says, the note says there is a gym undergoing repositioning, can you just remind us sort of what’s going on there and what was the decision it take out of same-store this year?
Kevin Crummy: Yes, so we are doing a major renovation there of the gym and kind of some common areas that we had talked about so with that gym down and out of leasing we thought it was fair to take it out of both periods.
Jordan Kaplan: Just so we get the comparison good, there is a bunch of work going on there. The whole, if you could picture the project at all its two towers and then it's detached parking structure and there is a big courtyard in the middle and we are doing a bunch of work there.
Nick Yulico: Okay. Thanks.
Operator: Next we have Alexander Goldfarb of Sandler O’Neill.
Alexander Goldfarb: Hi good morning still out there. Just a quick question Jordan your comments earlier to question about not looking at Downtown, you will leave bunker other side and focus a little bit more on some of the sort of “edge” areas that have been growing. Is your hesitation to look down there more because you haven't seen it goes through a few cycles to see how it goes overtime or is it because the types of tenants who are there don't really lend themselves to this sort of multi tenant building the way like having small multi-tenant where you can get more efficiency and such out of the proprieties?
Jordan Kaplan: Well, I would say, I don't want to be on Downtown because I like what’s going on down there with the housing and they’ve created especially around AEGs project more pedestrian family stuff. And then there is a little bit of a kind of creative area so all great stuff that's all good stuff. But our program generally is to go into supply constraint, high amenity, smaller tenant, multi-industry areas and Downtown first of all I don't think the tenant is down there make their decisions on high amenity base. I think they are highly rent sensitive and move over very small changes in rent, so they are not locationally a rent sensitive. It's not supply constraint. They tend to be very large tenants, which is costly to move in and out and they put people through kind of a grueling bids. And we are just honestly not setup for that. And so I am not saying people can't make money down there, I am not saying bad market or any of that I am it's more what Kevin said not just a good fit for us.
Alexander Goldfarb: Okay. Thank you Jordan. Operator Next John Guinee of Stifel.
John Guinee: Just one follow up question Jordan you made the comment if you had unlimited cash you would buy all the Westwood and I’d argue at 33 bucks a share you do have unlimited cash. So just that's a pretty full price and a pretty low imply cap, do you think that your JV partners provide a lower cost of capital than common right now?
Jordan Kaplan: Well, I feel that at $33, I am going to say the reverse because there is too many esoteric ways to calculate my cost of equity, my cost of debt equity and my cost of partner equity. But I will say this simple now, if I sold my stock what would be the allocable price for selling my buildings out. And, then if I go look at the buildings I am buying and see what I am buying for the price I am paying, then I would say well that's crazy I should just buy more of my stock because I didn’t buildings for cheaper price per foot. So I would not sell my buildings for a lower price per foot to buy another building for higher price per foot that's why I instead, you partner with joint ventures and take as much of it as I can. If I thought my stock was trading on par with the pricing and metric of what I am buying buildings at, then I go yes, no problem I’d issue stock and gain more control and more synergies etcetera of the market that I like, but it's not the case.
John Guinee: Great. Thank you.
Operator: Next we have Jamie Feldman from Bank America.
Jamie Feldman: Hi, I am just wondering do you guys have a quarterly kind of post transaction run rate for EBITDA or net debt EBITDA given the transaction was mid quarter?
Jordan Kaplan: We don't, I know that transaction was a strange one we had one other thing I think we were going to mention if it came up, which is close, I will mention, by the way you’re a last caller so we might have not mentioned at all. But we had originally told you guys and I am thinking I said this we thought that Westwood was going to provide at least $0.03 to the Westwood deal to our FFO and now we are pretty sure it's more of the $0.04 or $0.05 instead of the $0.03 if you, for the whole year if you want kind of a run rate impact from that transaction. Well it's not a run rate because it's only for the remaining part of the year but $0.04 to $0.05.
Jamie Feldman: And that's the bump we still have the transaction and have internal growth?
Jordan Kaplan: Well, I am not, I wasn't directly answering your question. I was just answering the fact that you said the transaction happened in quarter and I was trying to give you the answer, overall for the whole year impact from that transaction.
Jamie Feldman: And then, in terms of like a good EBITDA run rate do you have one or try something offline, call you offline.
Mona Gisler: Yes, we don’t have that and one thing that you might look at Jamie, so what we provided this time was share of cash NOI from our consolidated joint ventures and so the core of that was 2.2 million, but we expect our share of cash NOI from JVs to be between 14 million and 17 million for the year.
Jordan Kaplan: Does that helps.
Jamie Feldman: Alright, thank you.
A - Jordan Kaplan: Alright, thanks. And that was like our last question, so thank you everybody for joining us on the call and we look forward to speaking to you again in three months.
Operator: We thank you sir, to the rest of management team for you time off for today. Again, the conference call is now concluded, at this time you may disconnect your lines. Thank you, take care and have a great day everyone.